Operator: Good morning, ladies and gentlemen. Today is Tuesday, September 14. Good morning, and welcome to the Butler National Corporation First Quarter Fiscal 2022 Financial Results Conference Call. [Operator Instructions] Your call leader for today's call are David Drewitz, Creative Options Communications; Clark Stewart, President and CEO; Craig Stewart, President of Aerospace Group. I'll now turn the call over to Mr. David Drewitz. Mr. Drewitz, you may begin. 
David Drewitz: Appreciate that. Thank you, and good morning to everyone. Before Mr. Stewart begins, I would like to draw your attention to, except for historical information contained herein, the statements in this conference call are forward-looking and made pursuant to the safe harbor provisions as outlined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties, which may cause Butler National's actual results in future periods to differ materially from forecasted results. Those risks include, among other things, the loss of market share through competition or otherwise; the introduction of competing technology by other companies; new governmental safety, health and environmental regulations, which could require Butler to make significant capital expenditures. 
 The forward-looking statements included in this conference call are only made as of the date of this call and Butler National undertakes no obligation to publicly update such forward-looking statements to reflect subsequent events or circumstances. Important factors that could cause actual results to differ materially from the expectations reflected in the forward-looking statements include, but are not limited to, factors described under the caption Risk Factors in the company's annual report on Form 10-K filed with the Securities and Exchange Commission. 
 So with that statement completed, I'm going to turn the call over to Mr. Clark Stewart. Mr. Stewart, it is yours. 
Clark D. Stewart: Thank you, David. Good morning, ladies and gentlemen. We appreciate you taking your time to join us on the Butler National conference call or shareholder call, as we call it. We're excited about the quarter, and we believe that you need to understand that the PPP money was forgiven for $2.628 million or $2.000628 million, something like that. And so that's somewhat overstating the total income, but the bottom line when all the dust settles, we still made $2.8 million. And I think that's a great, great accomplishment given the fact that we're dealing with a COVID world and all kinds of restrictions here and there. And I think we're pleased to have $0.04 a share or $0.02 share, however you want to compute it, but that basically is where we are. 
 As you know, on the COVID money, the PPP money was provided a year ago and we used to keep our employees at the casinos and Avcon busy during the closedowns in 2020. We did not get that forgiven through the bank until June of this year and so that's why it distorts the numbers. Numbers are also somewhat distorted because of the 65 days that we were closed at the casino in the spring of 2020. So having said all that, I'm really pleased with what we have. 
 Our cash position is strong. As you can see by looking at it, our liabilities, of course, now include our purchase of the land and building from our partner, and our total equity is up by 11%, almost 12%. So I'm pleased with that. I think our backlog is strong at around $24 million. And of course, most of that is Avcon and Tempe. Professional Services has almost $500,000 in backlog in our architectural and engineering work. So I'm pleased with all the things that have gone on. I don't know that I've missed the whole lot here. 
 Craig, have you got any observations that I've not covered? 
Craig D. Stewart: No. I think the Aerospace segment, both Arizona and Avcon are doing a great job. We've got -- we're probably the second-highest backlog we've ever had, and that's second to the backlog we had on July 1. And we're off about $1.5 million from that backlog, and that's just the deliveries over the month of July basically there and the timing of it. But we're excited about the Aerospace segment. I think the NBAA is coming up. That will be one of the first shows that we've actually attended here since COVID hit. So we're hoping that we'll start to be able to be a little bit more active with customers, and internationally, we've had a number of customers come to visit us. We're hoping that we'll get back to a little bit more normal from a sales cycle. 
Clark D. Stewart: Yes, we've been faced with the fact that we really couldn't travel and see these customers eye to eye. And of course, as you know, people buy things from other people. And so we're looking forward to some time getting to where we can operate that way. We've done some, like I say, our R&D, we continue to spend money on new product development, and we're working on a number of those projects at this time. We probably can't really disclose that information. But we're also working on this, as you know, the -- we've alluded to the fact that someday, we might be able to work on minority interest. And usually, we get a question to that effect. So I would tell you, yes, we're still working on that. No, that hasn't evaporated. So we're in the process of doing that. 
 And I guess with that, that's probably -- there's -- anything else? David, I think that's all we have to say unless someone has some questions. 
David Drewitz: All right. Well, let's open it up to questions. Erica, can we get that going? 
Operator: [Operator Instructions] Our first question comes from [ Roy Kerko ]. 
Unknown Shareholder: First of all, congratulations on a great quarter and a great start to a new year. I would like to know why the earnings releases are -- never appear on Yahoo Finance anymore. They used to show on there a couple of years back. And the last information they have on Yahoo Finance was 9 months ago about your closing of the Boot Hill land deal, and I do get David's e-mails in a very timely manner, and I thank him for that. But this to me is like preaching to the choir. 
 Why can't the same information go on Yahoo Finance, which has millions of people that see it every day, especially in this crazy market, and we need more potential investors. We need more volume. Even after that great announcement on Friday, the last 2 days, yesterday and Friday, we traded less than 100,000 shares. And so I'd just like to see -- I don't know why this cannot be put on Yahoo Finance. 
Craig D. Stewart: Ray, this is Craig. And we will -- what we're doing right now is we disseminate it through the OTC market's website. And I guess Yahoo! doesn't pick up the feed from the OTC markets. We can do the releases through PR Newswire, which is more expensive. But we will look into that and see if we should get them back on PR News to disseminate -- them through PR News as well so they hit more -- a broader market. 
Unknown Shareholder: Great. I would appreciate that. And I know on my TD Ameritrade account, they will have on there the transcript. They had the one in July from our meeting then. And I know that the -- this one here will be probably put on there, too, but they don't pick it up either. And -- but David does a great job getting the e-mails out. So I appreciate that. 
Craig D. Stewart: Thank you, Roy. 
Operator: [Operator Instructions] Our next question comes from [ Al Becks ]. 
Unknown Shareholder: My question is with regard to the, somewhat the same as the previous gentlemen, lack of interest in bank stock and BUKS' stock. I'd like to think a reverse stock split on maybe, say, 10:1 would get your market price above $5 and should enhance interest in many more investors. Your thoughts? 
Clark D. Stewart: Well, I'll give you the first answer on that. We've talked about that for at least 15 years. And we have a group of people that don't think we should do it, and then we have a group of people that think we should. And we're going to have the annual meeting here in another few weeks. And I think that maybe we ought to discuss it at the annual meeting and see what the current feeling is. We, to be honest with you, we got all excited about doing it about 10 years ago or 12. 
 And so we did all the paperwork and got ready to go, and then I had a whole lot of resistance from the shareholders saying they didn't want to do that. So we put her back on the shelf, and it's been resting there for that period of time. So I appreciate the question. I agree that we need wider, broader interest in the stock and maybe a higher price would help. I'm not sure. 
Unknown Shareholder: I just can't imagine what a reason would be not to do a split to get the price up, and therefore, get all kinds of new interest from new investors, but I guess that's your Board's decision. 
Clark D. Stewart: Yes. We'll take it up at the annual meeting and see where we are. We appreciate the question. 
Operator: [Operator Instructions] At this time, we have no further questions. 
Clark D. Stewart: Well, let's close this up by saying -- I'm sorry, go ahead. 
David Drewitz: Oh, I was just going to say, Clark, do you have any closing statements? 
Clark D. Stewart: Yes. I want to acknowledge and compliment all our people from the casino, from Avcon, from Tempe and from the Olathe team here at Butler Avionics for all of their support and their attitude towards all of these ups and downs that the economy has had, the attitudes of the customers and while we're not able to talk to them, and we really thank them. They've been real strong team members and supported the company in all cases. And I do appreciate that, and that would be my closing comment, David. 
David Drewitz: Excellent. Thank you, everybody, and have a tremendous day. 
Clark D. Stewart: Thank you. 
Craig D. Stewart: Thank you. 
Operator: This concludes today's conference call. Thank you for attending.